Operator: Good day and welcome to the eGain Fiscal 2015 First Quarter Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Charles Messman, Vice President of Finance. Please go ahead, sir.
Charles Messman: Good afternoon, ladies and gentlemen and thank you for joining us today for eGain’s conference call to discuss results for fiscal 2015 first quarter and ended September 30, 2014. Please note this call is being recorded and will be available for replay from the Investor Relations section of our Web site at www.egain.com for seven days following this call. Before I begin, I’d like to remind all listeners that this conference call contains forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. This conference call contains forward-looking statements that involve risk and uncertainties. These forward-looking statements include, among other matters, statements about the company’s market opportunities; statements pertaining to the acquisition of Exony; statements about the company’s financial results for the first quarter of fiscal 2015 ended September 30, 2014, with respect to total revenue; statements regarding deferred revenue, subscription and support revenue, license revenue, and statements regarding our fiscal 2015 guidance including some sources of revenue and business mix. The achievement or success of the matters covered by such forward-looking statements involve risks and uncertainties and assumptions. If any such risk or uncertainty materialized or if any of these assumptions prove incorrect, the company’s results could differ materially from the results expressed or implied by forward-looking statements we make. The risks and uncertainties refer to above but are not limited to, risk that our hybrid revenue model and lengthy sales cycles may negatively affect our operating results; risk related to our reliance on a relatively small number of customers for a substantial portion of our revenue; our ability to successfully Exony; our ability to compete successfully and manage growth; our ability to develop and expand strategic and third-party distribution channel; risk associated with new product releases; risks related to our international operations; our ability to invest resources to improve our product and continue to innovate; and other risks detailed from time to time in eGain’s filings with the Securities and Exchange Commission, including eGain’s Annual Report on Form 10-K filed on September 12, 2014 and eGain’s Quarterly Report on Form 10-Q, which are available on the Securities and Exchange Commission’s website at www.sec.gov. These forward-looking statements are based on current expectation and speak only as of the date hereof. The company assumes no obligation to update these forward-looking statements. On today's call we are introducing a new metric of adjusted EBITDA, a non-GAAP financial measure that is defined as net income loss adjusted for the impact of purchase accounting adjustment to deferred revenue related to acquisition, depreciation and amortization, stock-based compensation expense, interest expense, net income tax, amortization of acquired intangibles and acquisition related expenses. I should note that non-GAAP results are presented for supplemental informational purposes only and should not be considered a substitute for financial information presented in accordance with generally accepted accounting principles and may be different from non-GAAP measures used by other companies. We use these non-GAAP measures to compare the company’s performance to that of prior periods for trend analyses, and for budgeting and planning purposes. We believe that the use of these non-GAAP financial measures provides an additional tool for investors to use in evaluating ongoing operating results and trends and comparing the company’s financial measures with other software companies that present similar non-GAAP financial measures to investors, allowing for greater transparency with respect to key metrics used by management in financial and operational decision making. With me today are, Ashu Roy, Chairman and Chief Executive Officer; and Eric Smit, Chief Financial Officer of eGain. To begin management's discussion, I will now turn the call over to Ashu. Ashu?
Ashu Roy: Thank you, Charles and good afternoon everyone. Thank you for joining us today. We are pleased with a strong start to fiscal 2015 as we see continued growth in bookings and revenue both sequentially and year-over-year in what is a historically slower quarter for us. Looking at the financial highlight. The total revenue for the first quarter increased 32% year-over-year to $20.7 million. Quarterly recurring revenue was $10.4 million, up 10% year-over-year. Our total gross bookings for the quarter were $26.6 million, up 102% year-over-year and 5% over the fourth quarter. And we delivered $0.9 million of adjusted EBITDA this quarter compared to a loss of $1 million in the same quarter last year of adjusted EBITDA. Now let me turn to some color on business performance. We saw significant demand for our on-premise solution during the quarter. As we have said before, we anticipate this trend to continue in the near-term, especially as it relates to business generated through partners. Also, during the quarter we saw a good mix of business from new logos and existing customers. In this first quarter, partners drove 50% of our new logos. And we also continue to see customers adopting our suite more broadly, defined as three or more products. This is a very encouraging trend for us because it proves the value of our unified customer engagement platform and it also makes the implementation that much more sticky. Looking at sales execution, something that is a big area of focus for us. From a sales perspective, I am pleased with the momentum that is being built in the team led by AJ Berkeley. He has successfully rallied the worldwide field team around the message of making it easy for our customers to do business with us. Worldwide coordination and cooperation in the team is improving. He has rationalized territories and quotas based on pipeline and he is instilling discipline to improve forecasting. Through all this change, his primary focus is on aggressively growing the pipeline. As a result, not only are we building direct pipeline but we are also working very closely with partners to conduct joint roadshows and seminars targeting their sales teams as well as their clients. All this gives me more confidence in the decision we have made around the sales leadership. Thanks to the growing importance of omni-channel customer engagement to the market, we are also now starting to see complementary solution providers who are reaching out to us seeing mutual value in partnering with us as the leading customer engagement platform. The goal in this case is to deliver joined up solutions to better serve the market. In that light, we just announced an interesting partnership with Nuance today, where eGain and Nuance will integrate and market innovative customer experience solutions combining Nuance's voice-based customer service products with eGain's digital engagement and knowledge management tools. We believe such partnership can be very beneficial both for us as well as our partner and speaks to the leadership of eGain in the marketplace of omni-channel customer engagement. Last quarter we talked about the acquisition of Exony. Since that acquisition which was, I believe we announced it August 6, significant strides have been made during the quarter in terms of integrating the two teams. As we worked through this process, we found that the market and our partner were already ahead of us in terms of anticipating the need for an integrated platform to manage, operate and measure their omni-channel setups. We heard many of them talking about merging the two capabilities as soon as possible. So we decided to respond quickly by accelerating our integration plans to merge the teams both on the front end and the back end sales and products. This is going faster than we had anticipated because earlier we thought we would run the Exony team somewhat separately for about a year. I see this change and acceleration as strategically positive. I believe that as a result of this we will serve the growing market opportunity much more effectively with one solution and one go to market approach than two. Tomorrow it eGain World we will also introduce some exciting new capabilities emerging from this integration that will make it easier for the market to adopt our omni-channel platform. To conclude before I hand it off to Eric, our Chief Financial Officer, I will say number one, we are very excited about the growing acceptance of the omni-channel proposition the market. Something that we have been anticipating for a while. Number two, improving our sales productivity is our number one priority and under AJ's leadership we are making very good progress on this front. I expect to report further gains on this front over the quarters in coming months. And finally, we want to make sure and we are that we maintain our innovation lead in this omni-channel market. That is continuing to become more interesting and exciting by delivering the most complete and agile platform in the market. With that, let me hand over the next comments over to Eric Smit. Eric?
Eric Smit: Thank you, Ashu and thanks for joining us today. Before I go into more detail, I would just like to highlight the positive financial performance this quarter as Ashu mentioned, with record revenue of $20.7 million, up 32% year-over-year while recording and adjusted EBITDA margin of approximately 4%. On the call today, I will review our ACV and bookings metrics for the quarter then go into details of our financial results and close with an update on our guidance for fiscal 2015. Please note that these financial results reflect the contribution of our acquisition of Exony for approximately 60% of the quarter, which is from August 7 through the end of the quarter. Our total subscription and support revenue ACV at the end of the quarter was $42.4 million, compared to $40.8 million at the end of the first quarter last year and $41.9 million for the fourth quarter of fiscal 2014. If you look at our gross bookings or revenue plus change in deferred for the quarter, it was $26.6 million, up from $23.7 million last quarter and $13.2 million in the first quarter last year. Backlog as of September 30, 2014 for total deferred revenue plus unbilled and uncollected revenue increased to $45.6 million compared to $36.3 million last quarter and $42 million at the end of the first quarter last year. The backlog for this quarter included $3.5 million opening balance from Exony that was brought over. Now turning to our financial results. Total revenue for the first quarter was $20.7 million, up 32% from $15.7 million in the comparable year ago quarter. Our total quarterly subscription and support revenue for the first quarter was $10.4 million, an increase of 10% over the first quarter last year. License revenue from perpetual sales came in very strong for the quarter at $6.7 million, up 75% from the comparable year ago quarter while professional services revenue for the quarter was $3.5 million, a 48% increase from the prior year quarter. Looking at the geographic mix of our revenue. Total first quarter revenue comprised of 66% domestic revenue and 34% from international. Now looking at our gross profit and gross margins. Gross profit for the first quarter was $13.7 million or a gross margin of 66% compared to a gross profit of $10.1 million or a gross margin of 65% in the comparable year ago quarter. If you look at the breakout of gross margin by revenue type, total subscription and support revenue gross margin for the quarter was 72% compared to a 79% margin in the comparable year ago quarter. Professional services revenue gross margin was a negative 16% for the quarter, an improvement from a negative 49% in the comparable year ago quarter. Turning to our operating costs. Total operating expenses for the first quarter was $15.2 million compared to $11.7 million in the comparable year ago quarter. Adjusted EBITDA for the fiscal first quarter was $0.9 million, compared to a loss of $1 million in the first quarter of fiscal 2014. Net loss for the quarter was $1.6 million or a loss of $0.06 per share on a basic and diluted basis compared to a net loss of $2 million or $0.08 per share for the comparable year ago quarter. Turning to our balance sheet. Total cash, cash equivalents and restricted cash was $7.1 million at September 30, 2014 compared to $8.8 million at June 30, 2014. Total net accounts receivable was $15.4 million at September 30, 2014 compared to $11.2 million at June 30, 2014. DSOs for the first quarter were 67 days compared to 56 days for the comparable year ago quarter. Total deferred revenue which includes both deferred revenue on the balance sheet of $14.8 million and unbilled deferred revenue that remains off balance sheet of $30.8 million was $45.6 million as of September 30, 2014, compared to $36.3 million at June 30, 2014. Looking at our debt obligations at the end of the quarter. We had Comerica Bank debt of approximately $11.7 million compared to $5 million at June 30, 2014. As we had previously disclosed, we increase our borrowings from Comerica during the quarter to fund the cash portion of the Exony acquisition. Now turning to our fiscal 2015 guidance. We are reiterating our guidance for fiscal 2015 of annual total revenue of between $90 million and $95 million and annual subscription and support revenue of between $44.5 million and $46.5 million. This is inclusive of revenue from the Exony acquisition prior to the impact of purchase accounting adjustments to the deferred revenue related to the acquisition. With that said, I will now open up the call for questions. Operator?
Operator: (Operator Instructions) We will go first to Michael Huang with Needham & Company.
Michael Huang - Needham & Company: Just a few questions for you guys. I apologize if I missed this but did you share with us what the bookings were net of the Exony contribution?
Eric Smit: So we did not share that. Although for this particular quarter there wasn't a significant portion that came from Exony.
Michael Huang - Needham & Company: Okay. And then I think you had talked about bookings being up sequentially. Could you give us a flavor for -- when you are looking at the new logos, how was that trending? Are you seeing big growth from that standpoint quarter on quarter and kind of what do you see in there just based on what you have seen recently. Thanks.
Ashu Roy: So compared to say prior quarters, while we don't break it down very granularly on a quarterly basis, but I think for the last quarter when we talked we spoke about acquiring a little over 50 customers last year, last fiscal year. I think we are on a similar trajectory for this first quarter but I expect that that number is going to start to pick up because the first quarter traditionally tends to be a slower quarter given the summer months etcetera.
Michael Huang - Needham & Company: Okay.
Eric Smit: And I think, just to follow on to Ashu's point, when you look at the mixture, the lend and expand strategy where you have got sort of a positive increase in customers. Although certainly a significant portion of the new bookings were coming from existing customer base, so expanding opportunities.
Michael Huang - Needham & Company: Okay. And I think last quarter you had talked about a number of pilots that you had kicking off. Some of them (indiscernible) channel. Was wondering if you could share with us, what's your stand there? I mean did some of those convert over to larger enterprise wins. And, typically, kind of what is kind of deal size when you are in the up sell into a larger deal? Thanks.
Ashu Roy: So we didn't have a lot of expansion of small wins that were coming through partners for the last quarter but those opportunities continued to develop nicely. So if you start looking at it more on a longer timescales I think we will see the results the way we think they should be coming through in terms of expansion. So those opportunities continue to develop but we didn't have significant numbers in that bucket for Q1.
Operator: Next we will go to Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee - Craig-Hallum: A couple of questions. I guess, Ashu, just first on the Exony size. Have your expectations for that business changed at all in terms of bottom or topline impact for the first 12- months of ownership?
Ashu Roy: Good question. I think as a separate business we will see -- we don't think that we are going to be running them as a separate business, like I said. At the same time, the upside that we are seeing from rolling them into one go to market and integrating the back and products quickly, is quite exciting for us. So all in all I would say that it's going to plan in terms of top and bottom line impact. I think there will be some efficiency gains just like we had anticipated. And this is not a slash and burn kind of operation, just obvious overlaps will get cleaned out. But other than that it's all about topline growth and creating that sort of smart capability in our platform which is what Exony brings.
Jeff Van Rhee - Craig-Hallum: And what was the revenue contribution this quarter from Exony?
Eric Smit: It's approximately about $1.5 million.
Jeff Van Rhee - Craig-Hallum: Okay. Great. And then, Ashu, I guess as it relates to Cisco. Could you just spend maybe a minute there? We were seeing that steady, sequential build in the win rates there. There seemed to be a window, just sort of softly measured by your tone, that you really felt some accelerating momentum there. Has that continued or has there been a pause there as you have gone through the sales transition? Just give me a sense of the momentum. It's hard to tell from limited metrics we have here in terms of what's really building under the covers there. Both there and in the direct sales teams.
Ashu Roy: Okay. So I feel like the Cisco business continues to grow quite well. When I say Cisco, I mean the whole partner-enabled opportunities, right. What has happened is that it's more than just the Cisco, direct Cisco sales process. It's all the partners of Cisco that are starting to bring us into variety of opportunities. So that part is going well. Specifically for the last quarter, there weren't a ton of large deals that converted, but underlying that the pipeline seems to continue to grow very nicely. So the excitement is high. The pipeline build is good and the overall partner pull is growing very nicely.
Eric Smit: And just I think, one point to add to that is, that given that this is a beginning of Cisco year, there was a lot of activity around sales kickoff events and activities that were underway. All of those were very positive.
Ashu Roy: Yes. So there were a couple of events that we were significant sponsors of and we kind of led the partner activity in those areas. One was in Dallas, one was in London. And so the excitement around it in the Cisco ecosystem is very high.
Jeff Van Rhee - Craig-Hallum: And then back to Exony for a second. You are accelerating the integration, both from a sales front as well as product. Can you just give us some, may be a little clearer sense, on what the benchmarks are from each of those aspects as to how far along we should be at whatever the given date is or target is?
Ashu Roy: So first to talk about the sales side. Exony's financial year ended September end and after that we have margin the teams so that it's one sales organization with geographically sort of spreading the teams under the different sales theater heads. So we have got Americas, West Americas, East, and EMEA. And so the sales teams have gotten organized in those buckets from Exony. And we have a layer of overlay, a very small overlay that still will ensure that the expertise of selling Exony continues to be well leveraged, even though we are spreading the sales presence across a much bigger team. And then on the product side, we expect to start seeing phases of integrated value proposition starting with something that should be coming out next quarter in the first phase. And then every six months after that start to roll out more and more integrated capability. Plus, we will be announcing some stuff tomorrow in terms of new things that we are able to do as one company. That neither company could do as standalone. So that's very exciting.
Jeff Van Rhee - Craig-Hallum: Okay. And then last one from me. Could you refresh, I know you had a big renewal that you had discussed last quarter. Can you just refresh us on the size there and was the ACV reduction in line with expectations, or just any update there will be great.
Eric Smit: Sure. So I think just to repeat that, the ACV reduction that we had talked about was around $3 million. So that is in line with the numbers that we had reported. And so this booking was sort of in the $10 million to $11 million range, was the booking amount that came from this one renewal.
Operator: (Operator Instructions) We will go next to Mark Chappell with Benchmark.
Mark Chappell - Benchmark: Most of my questions have been answered. Just one though. Just outside of what's taking place in the sales force with respect to Axony. I was wondering if you could just review some of the other changes that AJ is putting in place since he came on board.
Ashu Roy: Sure. So we talked about three big ideas. Number one is, coordination and cooperation across the [wide] (ph) sales teams as running into (indiscernible). So the same message, the same best practices, the same go to market. Just this week, overlapping with our eGain World, we are also conducting a worldwide sales training for the entire sales team. And that sort of intensive alignment of the messaging, the go to market, that’s a big change. We already have a couple of sales kickoff that were reinforcing that message but now we are sort of hammering it much harder. And we will continue to follow that up. So that's one bucket. The second bucket is, making sure that we are growing our pipeline in a much more systematic way and the is a level of measurement and accountability that’s put on to the teams that are responsible for that pipeline development. Both on the direct side as well as on the partner side. So I am seeing a lot more activity that is resulting in. Specific opportunities being added to the top of the funnel. And the last piece is, just more accountability and diligence in forecasting, I see as a -- and related to that is the performance oriented culture of people who are not, if they don't have a line of sight to hitting their numbers, then they are either moving on or they are being moved out. And so those three big things that I see happening in the team much more intensively than in the past.
Operator: We will go next to Jon Hickman with Ladenburg Thalmann.
Jon Hickman - Ladenburg Thalmann: I was wondering, I just have one question. Could you give me the breakdown in the bookings between new and existing customers? It must have been up around like 80% of existing?
Eric Smit: So we don't specifically breakout that number but we did see, as we said, a significant amount. So again, not a number that we have been disclosing.
Operator: (Operator Instructions) There are no more further questions at this time. Mr. Messman I would like to return the conference to for any closing remarks.
Charles Messman: Thank you. I want to thank everyone for joining us today. Should you have any further questions or comments, please feel free to call us. I will also like to mention again that starting tomorrow we will be holding our analyst and investor day in conjunction with eGain World. That’s being held at the Fairmont Hotel in San Jose. If you would like further information on how to register or to attend, please contact me directly and we hope to see you there. Thanks again and we will talk to you soon. Bye.
Operator: This concludes today's conference. Thank you for your participation.